Operator: Ladies and gentlemen, thank you for standing by. Welcome to Casey's General Stores Second Quarter Fiscal Year 2026 Earnings Conference Call. At this time, all participants are in a listen-only mode. Instructions will be given at that time. Please be advised that today's conference is being recorded. I would like now to turn the conference over to Brian Johnson, Senior Vice President, Investor Relations and Business Development. Please go ahead.
Brian Johnson: Good morning, and thank you for joining us to discuss the results from our second quarter ended October 31, 2025. I'm Brian Johnson, Senior Vice President of Investor Relations and Business Development. With me today are Darren Rebelez, Chairman, President and Chief Executive Officer, and Stephen Bramlage, Chief Financial Officer. Before we begin, I'll remind you that certain statements made by us during this investor call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements include any statements relating to the potential impact of the Fike transaction, expectations for future periods, possible or assumed future results of operations, financial conditions, liquidity, and related sources or needs. The company's supply chain, business and integration strategies, plans and synergies, growth opportunities, and performance at our stores. There are a number of known and unknown risks and uncertainties and other factors that may cause our actual results to differ materially from any future results expressed or implied by those forward-looking statements. Including, but not limited to, the integration of the recent acquisitions, our ability to execute on our strategic plan or to realize benefits from the strategic plan, the impact and duration of conflicts in oil-producing regions and related governmental actions, as well as other risks, uncertainties, and factors which are described in our most recent annual report on Form 10 and quarterly reports on Form 10-Q as filed with the SEC and available on our website. Any forward-looking statements made during this call reflect our current views as of today. With respect to future events. And Casey's disclaims any intention or obligation to update or revise forward-looking statements whether as a result of new information, future events, or otherwise. A reconciliation of non-GAAP to GAAP financial measures referenced in this call as well as a detailed breakdown of the operating expense increase for the second quarter can be found on our website at caseys.com under the Investor Relations link. With that said, I'd like to turn the call over to Darren to discuss our second quarter results.
Darren Rebelez: Thanks, Brian, and good morning, everyone. Before we dive into our excellent second quarter performance, I'd like to congratulate the entire Casey's team for their hard work throughout the quarter to serve our guests and our communities. In addition, I want to highlight the positive impact Casey's is making with veterans and their families. For more than a decade, Casey's has partnered with two veteran-focused nonprofits for our annual roundup campaign: Children of Fallen Patriots and Hope for the Warriors. Each year, it's humbling to see the support from our guests, team members, and partners at PepsiCo, and I'm proud to share that this November, we raised $1.2 million for these two outstanding organizations. As a veteran myself, I'm grateful to those who stand with our military community and support them when shopping at Casey's. Now let's discuss the results from the quarter. Diluted EPS finished at $5.53 per share, and net income was $206 million, both of which are an increase of 14% from the prior year. The company generated $410 million in EBITDA, a 17.5% increase from the prior year. Inside the store, the prepared food and dispensed beverage category saw guests responding well to our innovation and promotional activity within the category. We also saw margin expansion which is primarily driven by the grocery and general merchandise category. This was underpinned by increased guest traffic as effective merchandising along with solid store-level execution is leading to more guests shopping at our stores. Strong execution of our fuel strategy by the fuel team coupled with our robust store offer, resulted in our fourth consecutive quarter of fuel gallon growth. This was accomplished while also growing cents per gallon margin.
Stephen Bramlage: I would now like to go over our results and share some of the details in each of the categories. Inside same-store sales were up 3.3% for the second quarter, or 7.5% on a two-year stack basis, with an average margin of 42.4%. The two-year stack was an acceleration from the first quarter. Same-store prepared food and dispensed beverage was quite strong, sales were up 4.8% or 10.3% on a two-year stack basis. With an average margin of 58.6%. Whole pies and hot sandwiches and all dayparts performed well in the quarter. Breakfast performed exceptionally well. With our maple waffle breakfast sandwich highlighting the innovation our culinary team is bringing to the category. Margin was down approximately 10 basis points from the prior year as the lower margin from the Cefco stores was nearly offset by improvement in waste cost of goods management. Same-store grocery and general merchandise sales were up 2.7%, or 6.4% on a two-year stack basis with an average margin of 36%, an increase of approximately 40 basis points from the prior year primarily due to favorable mix shift to higher margin items such as energy drinks and nicotine alternatives within their categories. On the fuel side, same-store gallons sold were up 0.8% with a fuel margin of 41.6 cents per gallon. According to OPIS fuel gallon sold data, the Mid Continent region saw an approximate 2% decline this quarter, so we believe we are continuing to grow market share. Fuel performance remained robust, supported by strong premium and mid-grade demand, stable diesel sales, consistent pricing discipline, and solid gains in fleet volumes. The organization remains mindful of effectively managing operating expenses while maintaining or improving team member engagement and guest satisfaction. In the second quarter, same-store operating expense excluding credit card fees increased 4.5%, lapping a 2.3% increase in the prior year. Same-store labor hours were flat even as we invested more labor hours to the kitchens appropriately to meet the strong pizza demand during the quarter. I would now like to turn the call over to Steve to discuss the financial results from the second quarter.
Stephen Bramlage: Thanks, Darren, and good morning. Before I begin, I also want to acknowledge the hard work and the great results from our team members. Total revenue for the quarter was $4.51 billion, an increase of $559 million or 14.2% from the prior year due primarily to higher inside sales, as well as higher fuel gallons sold partially offset by lower retail fuel price. Results were also favorably impacted by operating approximately 9% more stores on a year-over-year basis. Total inside sales for the quarter were $1.66 billion, an increase of $190 million or 13% from the prior year. For the quarter, prepared food and dispensed beverage sales rose by $50 million to $468 million, an increase of 12%, and grocery and general merchandise sales increased by $141 million to $1.19 billion, an increase of 13.4%. Retail fuel sales were up $273 million in the quarter as a 16.8% increase in fuel gallons sold was partially offset by a 4.8% decline in the average retail price.
Stephen Bramlage: The average retail price of fuel during the period was $2.96 a gallon, and that compares to $3.11 a year ago. We define gross profit as revenue less cost of goods sold but excluding depreciation and amortization. Casey's had gross profit of $1.12 billion in the quarter, an increase of $163 million or 17% from the prior year.
Stephen Bramlage: This is driven by both higher inside gross profit of $83.8 million or 13.5% as well as higher fuel gross profit of $65.1 million or 20.9%.
Stephen Bramlage: Inside gross profit margin was 42.4%, and that's up 20 basis points from a year ago.
Stephen Bramlage: Prepared food and dispensed beverage margin was 58.6%, down 10 basis points from prior year.
Stephen Bramlage: Cheese was $2.11 per pound through the quarter, that compares to $2.25 a pound last year, a decrease of 6% or an approximately 35 basis point benefit to margin.
Stephen Bramlage: There was an approximate 130 basis point headwind from the Cefco stores that were partially offset by improved waste, accretive mix, and the favorable cheese cost comparison. The grocery and general merchandise margin was 36%, an increase of 40 basis points from the prior year. The change was impacted by a favorable mix shift within the category, as well as cost of goods management, and that includes manufacturer-funded promotional activity, associated with alternative nicotine products. Fuel margin for the quarter was 41.6¢ per gallon. That's up 1.4¢ per gallon from prior year. This is inclusive of an approximately one and a half cent per gallon drag from the CEFCO stores. Other income was $40.9 million and that's an increase of $14.2 million or 53.4%. Increase primarily was due to wholesale fuel gross profit from the Fikes acquisition but it did also include a one-time $8 million benefit which is the result of a prospective change in the way that we will administer our gift card program. Total operating expenses were up 16.7% or $101.9 million in the quarter. Approximately 10.5% of the increase is due to unit growth. Same-store employee expense accounted for approximately 2% of the increase due to increases in labor rates, which were offset by flat same-store labor hours. Higher variable incentive compensation contributed to approximately 1% of the increase. Net interest expense was $24.7 million for the quarter, and that's up $12.1 million versus the prior year, which is primarily from financing the Fikes transaction. Depreciation in the quarter was $109 million, that's up $14.6 million versus prior year. Primarily due to more stores. The effective tax rate for the quarter was 24.7%, nearly comparable to the prior year. Net income was up versus prior year to $206.3 million, an increase of 14%. EBITDA for the quarter was $410.1 million compared to $348.9 million a year ago, and that's an increase of 17.5%. Our financial flexibility remains excellent. On October 31, we had total available liquidity of $1.4 billion. Also, our credit facility debt to EBITDA ratio was 1.7 times. For the quarter, net cash generated by operating activities of $347 million plus purchases of PP&E of $171 million resulted in the company generating $176 million in free cash flow compared to $160 million in the prior year. In December, the Board of Directors voted to maintain the quarterly dividend at $0.57 per share. During the second quarter, we repurchased approximately $31 million shares. And we now expect to repurchase approximately $200 million in fiscal year in total up from our previous expectation of approximately $125 million and that's due to stronger earnings and higher cash flows.
Stephen Bramlage: Consistent with our normal second quarter call practice, we are updating certain full-year financial metrics. Fiscal 2026 EBITDA is now expected to increase 15% to 17%. The company now expects inside same-store sales to increase between 3% to 4% and we expect an inside margin of 41% to 42%. The tax rate is now expected to be 24% to 25%. The remainder of our annual guidance provided at the beginning of fiscal 2026 remains unchanged. Results for November were as follows: Same-store volumes, both inside and outside the store, were consistent with our revised annual guidance expectations. Fuel CPG was in the low 40s, and current cheese costs are slightly favorable versus the prior year. As a reminder, we will now have lapped the closing of the Fike's acquisition and therefore the third quarter will have Fike's results in both periods. As such, we expect third-quarter operating expense to be up mid-single digits. I'd now like to turn the call back over to Darren.
Darren Rebelez: Thanks, Steve. Throughout the quarter, we built on the momentum from the summer months, and our inside comps accelerated on a two-year stack basis. Whole pies are performing exceptionally well, as we saw a very strong response to our thin crust Thursdays and our college football Saturdays promotions. Whole pies grew faster than the prepared foods category. While the category also printed a strong margin. Which shows we can be creative with our promotional activity and balanced margin performance. We also saw positive traffic to the stores, as guests continue to believe Casey's has a strong value proposition. In the forecourt, we continue to gain market share as our same-store gallons growth outpaced OPUS data in our region again. Our ability to drive guests to the pump with our strong inside offering remains a strategic advantage for the company. I would again like to express my gratitude to the entire Casey's team for an excellent quarter. As we look to close out our three-year strategic plan, I cannot ask for a better team to execute the plan and deliver industry-leading results. We will now take your questions.
Operator: To ask a question, please press 11 on your telephone and wait for your name to be announced. And to withdraw your question, please press 11 again. We ask that you please limit yourself to one question and one follow-up. And our first question will come from Ed Kelly with Wells Fargo. Your line is now open.
Ed Kelly: Yes. Hi. Good morning, everyone, and thank you for taking my question. Good morning, I've had I wanted to, you know, just start on fuel. I mean, obviously, the backdrop has been challenging. You've been outperforming. Can you just maybe talk a bit about the sustainability of that? And then Q3 is off to a good start. I mean, it seems like rock prices have helped. Do you expect margins to just kind of revert back in short order? And then stepping back on all this, has anything changed fundamentally either with your approach here or the competitive backdrop that we should be aware of?
Stephen Bramlage: Yeah. Hey, Ed. Good morning. This is Steve. I'll maybe start on a couple of those. Certainly nothing has changed with our approach. Maybe start with that. I think some of the results that the team has had so much success delivering are directly related to how consistent we have been with our approach of trying to balance profitability and volume to the pad. They've done an excellent job of having a consistent offer available to guests and we firmly believe that contributes for sure to the success that we've had. You know, our fly track around our performance relative to the rest of the market begins with the store. And so the fact that the vast majority of our guests are coming to the store to go inside the store, three out of four of our transactions don't involve a purchase of fuel gives us a lot of stickiness with those guests. Our guests, we believe, are a little less elastic than the average guest because they're already coming to the pad. It's for the inside the store offers, so that is certainly helped our outperformance relative to the market that we're in. As it relates to the seasonality of margins, I guess, is how I would address the question. Generally speaking, the winter for us, the third and fourth quarters, we're going to have seasonally lower margins than we do in the first half of the year. That's been the case for a while. We don't have any reason to expect that that would be significantly different. Beyond the recognition of what happens seasonally, we really don't prognosticate around what's gonna happen with forward-looking margins and beyond what November experience has been.
Ed Kelly: And then maybe just a quick follow-up on OpEx. Up 4.5% on a same-store basis. Which is a little higher than maybe what we expected. Can you just maybe speak to that quickly and how we should be thinking about the back half?
Stephen Bramlage: Yeah. Listen. Our full-year expectations are unchanged. We did not change the 8% to 10% expectation for full-year total OpEx. And so we are pretty much where we thought we would be exiting the first half of the year related to OpEx. The timing of lapping the Fikes transaction is going to naturally step down the year-over-year change that we'll experience in OpEx in the second half of the year, and we're trying to give some visibility into that with the third-quarter expectation of mid-single digits. We've had a very long success run here quarter-wise of reducing same-store labor hours. In the store, they were flat this year. Or this quarter. I'm sorry. That's very consistent with our expectations as eventually we were going to come to the end of that multiyear effort to literally drop hours to the bottom line with the promotions that we had in the store. Especially the pizza promotions on Saturdays, we prudently added some labor back into the store. And so it's kinda how we ended up flat with the same-store labor hours. Total OpEx very consistent with our expectation beyond what we enumerated in the press release. You know, there were some miscellaneous things higher insurance costs, higher utility costs, Legal was a little bit higher for us. Advertising was a little bit higher. But by and large, I think total OpEx performance very consistent with expectations.
Operator: Thank you. And the next question will come from Chuck Grom with Gordon Haskett. Your line is now open.
Ryan Bulger: Hey, guys. This is Ryan Bulger on for Chuck here. Thanks for taking the question, and good to talk to you today. Morning. My pleasure. Oh, sorry. Question was gonna be on the mix dynamic as you see these Cefco stores rolling to the base. The comp base next quarter. Obviously, we've been talking about the impact on margins for a while, but was just wondering if you could speak to anything you would expect to see in terms of how that would play out with the mix differences there traffic and ticket, etcetera, and any impact it could have on comps as they roll into the base next quarter? Thanks.
Darren Rebelez: Yeah. Ryan, this is Darren. Clearly, Cefco stores are carrying a lower margin than the Casey's stores, both in prepared foods and in grocery and general merchandise. And that's because they're still Cefco stores. They're not Casey's stores yet. Now that effort in terms of rebranding will start to kick off in earnest at the beginning of the calendar year. We'll start converting their larger stores that have kitchens in them already. Those are a little bit easier from a conversion standpoint. And then once we get those done, we'll start to convert the other stores. So we would expect that trajectory will change a bit. On the prepared food side in particular once we get those kitchens in and they're rebranded to Casey's. And they get our full assortment with private label and all the rest. So we expect that margin to accrete over time, but as it stands right now, their margin rate in prepared foods is about half of what the mothership Casey's prepared foods margin is. So it is going to have an impact. I was really proud of the team this quarter in terms of managing the rest of the business whether it's through cost of goods management, waste management, and overall execution so that we mitigated that impact from the Cefco stores onto the overall Casey's portfolio.
Ryan Bulger: Yeah. No. I was just curious if there'd be anything on the comp side. As they roll into the comp base. Next quarter.
Darren Rebelez: Well, as we roll through, I mean, haven't done that math yet, but I mean, if there will certainly be an impact as a when they blend it in, they blend it in and there was an impact to the margin. So as we cycle over that, we'll see that. It should blend up a little bit, but we'll have to see when we get there.
Ryan Bulger: Okay. Got it. Thank you.
Operator: Thank you. And the next question will come from Bonnie Herzog with Goldman Sachs. Your line is open.
Bonnie Herzog: All right. Thank you. Good morning, everyone. I had a question on your guidance. You did update your EBITDA guidance for this fiscal year, which is great to see, especially considering the strong results in the first half. But your guidance does still imply a sequential deceleration in EBITDA growth in the second half. So just hoping to hear some of the drivers of that. And then as you mentioned, you lapped the Fikes acquisition in November, but is there anything else contributing, I guess, to the implied deceleration in growth? Thank you.
Stephen Bramlage: Bonnie, this is Steve. I'll just start with that. It's obviously been a very strong first half of the year for us and that played a part in this. But as it relates to the second half specifically, we've tried to be pretty clear with people just mechanically the way the math has worked. Right? We're not gonna we do not expect the same absolute level of year-over-year EBITDA growth in the second half that we had in the first half just because we already have Fikes sitting in the base now. There's really no change in expectation for us from the mothership performance per se, and the Fikes performance is generally on plan as well. And so I don't we're not trying to message any different expectation for kind of second-half experience vis-a-vis first-half experience other than the mechanically, but the math is naturally gonna come down just because we have a higher number in the prior year. Second half. Period.
Bonnie Herzog: Okay. And then maybe just a quick follow-up just because Fikes acquisition has been a year. Can you just remind us your M&A strategy, where you're at and sort of what the market is like right now? Obviously, it's still very fragmented. Just any color there would be would be helpful in terms of what you're seeing and how actively you're potentially pursuing further M&A?
Darren Rebelez: Yeah, Bonnie. This is Darren. We're, we really haven't had any change in our strategy or our approach to M&A. As you know, we focus on a small deal kind of tuck-in and that's sort of normal course. We have our dedicated M&A team that is on that full time, and we're seeing good results from that group and very consistent with what we've expected. The larger type of M&A is more opportunistic. And those are fewer and further between. Typically. And you know, for us, it's not just a matter of buying something for the sake of buying it. If we need the right level of asset quality, that we can we're able to put our kitchens into those stores and really run our play. So while we do see a lot more out there than we are willing to buy because they're just not the right quality for us. There is some out there. We are participating in some of those processes, but again, we set a fairly high bar for ourselves in terms of the asset quality. So we'll probably say no to more things than we ever say yes to. Thank you.
Operator: And our next question will come from Bobby Griffin with Raymond James. Your line is open.
Bobby Griffin: Congrats on a solid first half. Darren, I just wanted to maybe circle back on the OpEx side, in particular, the same-store OpEx. And you guys, as you noted, have done incredible work on the hours basis, but maybe that's in the later innings. So when we look at, like, the year-to-date same-store OpEx of call it averaging out around high threes, is that the right level for this business going forward, with the store growth plans and kind of the expansion opportunities you have across Texas and whatnot? Or you still think there are opportunities to maybe push that down to closer to three or high twos on a same-store basis?
Darren Rebelez: Well, Bobby, we haven't guided beyond this year, so I'm not gonna really try to forecast that right now. I would say that like I said the last couple of quarters, I think a lot of the hour reduction work has largely been completed at now having said that, that work is never done. To be clear. We have a team that's dedicated to looking at in-store processes and always striving to become more efficient. But I would say at this stage, a lot of that will be fine-tuning and tweaking as opposed to larger reductions in labor hours. Know, the other thing I'd remind everybody about in this quarter in particular, you know, our traffic was up 1.5%. Our whole pie sales were up 8% in units. And so as we grow the business on a same-store basis, there's a natural inflection point where some more labor needs to get added into stores to meet the demand. At the same time, we've had the highest overall satisfaction scores from our guests that we've ever had. In this most recent quarter. So you know, I don't wanna get overly fixated on the labor number or on the OpEx number per se. We certainly manage it and we keep it close. But I think the combination of driving traffic delivering outsized growth in our highest margin categories, and having really great overall satisfaction scores from our guests is a really winning combination and very hard to do in retail. And we're doing it right now. And so, that's what we're really focused on. And when our gross profit dollar growth is growing at the pace it is, our EBITDA growth is growing at the pace it is, that's how we know we're doing it the right way. And so we're very comfortable with where we are at this point. From an OpEx perspective.
Bobby Griffin: Understand. Very helpful. And then maybe just as my follow-up on a different subject, alternate nicotine, you know, there were some obvious manufacturer promotions during the quarter, but just curious, you and the team have set out on the new calendar year, what are your expectations from promo activity in that category? Do you continue to expect it to be, you know, growing from a promotional basis or, you know, see higher promo potential going forward?
Darren Rebelez: Yeah. I'm not sure about the promotional activity going forward. I We'll still have more work to do with the manufacturers to understand how they're thinking about that as well. What I would say, though, is that overall, that category has been growing really fast over the last few years. As volumes in combustible cigarettes go down. And so we would expect that that trend will continue. And as combustibles continue to erode and more people seek other nicotine alternatives for them and right now, that business is working well for us. I think we shared a couple quarters ago that we reset all of the back bars in our stores. To reduce the space allocated to combustible cigarettes and increase the space available for those nicotine alternatives really to meet the guests need where they are. And that play is working well for us. We would expect that longer-term trend to continue. Thank you.
Operator: And our next question will come from Chuck Cerankosky with Northcoast Research. Your line is open.
Chuck Cerankosky: Good morning, everyone. Great quarter. Could you talk about the declining cost of a gallon of gasoline and your customers' behavior in-store? You said earlier that three to four store visits don't include gasoline. But is there an interplay between declining cost of fuel and, say, more prepared food store visits and bigger prepared foods purchases? And also how about the influence of lower gas prices on your in-store promotions? Thank you.
Darren Rebelez: Yeah, Chuck. Clearly, anytime we have lower absolute fuel prices, that leaves guests with more discretionary income and dollars to spend. So we always like that scenario. But what I would say more broadly is that I think guests, in general, are just being a little more discerning about where they spend their money because there's a lot of other cost pressures outside of our stores that folks are dealing with right now. And so what we're seeing is people are appreciating the value proposition that they experience at Casey's. And, you know, we see it in a couple of different areas. When you look at our whole pie business, as an example, when we run promotions, we get great uptake on the promotions, which would speak to the value, but we also see that people are trending more towards higher-priced items. So specialty pizzas as opposed to single-topping pizzas. So those are more expensive, but they're getting the right value equation, the quality of the product, and the price. Same with our bakery category where people are trading up to multipacks versus single items. Those cost more. But on a per-unit basis, those are less. So we think that people are really picking and choosing where they're going to spend their money and where the best intersection of quality and value come together is where people are really spending their money. And so low fuel prices certainly help, and I think a more robust in-store offer and getting that value equation right is probably the bigger driver of the results inside the store. Thank you. Good luck in the second half.
Operator: Our next question will come from Pooran Sharma with Stephens. Your line is open.
Pooran Sharma: Good morning, and thanks for the question here. Good morning. Maybe just wanted to peer more into cheese. Could you maybe update us on how much you have hedged? I think last quarter, you said you were about 70% locked up for the year. Just wondering if there's any update to that.
Stephen Bramlage: Yeah, Pooran. Hey. Good morning. This is Steve. We continue to chip away at locking in favorable rates, favorable prices for ourselves. The team is really doing a good job of staying on top of that and being advantageous for us. So as we sit here today, we're about 80% locked for the next four quarters, so the second half of this fiscal year, and the first half of what would be our fiscal '27, and, you know, we only lock something in if it's either favorable on a year-over-year cost basis or neutral. And so we're generally neutral or favorable on 80% of what we think we need to buy here for the next four consecutive quarters.
Pooran Sharma: Great. No. I appreciate the color there. I guess on my follow-up, maybe just wanted to peer into guidance here and understand that seasonally second half does step down from first half. But just given your commentary earlier, on how November is trending fuel margin wise would it be fair to assume kind of more of a three Q weighted split for the second half? So, like, maybe let's say, like, a 55, 45 split in 3Q and 4Q just given the favorability in fuel margins.
Stephen Bramlage: Listen, I think it would not be wise for me to go there. I think it's fair to assume that we were low forties CPG for the month of November. And we'll probably leave it at that. I think, historically, you can look at kind of a weighting between Q3 and Q4 and that's probably as good of a crystal ball as anybody would have around kinda how those quarters seasonally will behave.
Darren Rebelez: Yes. And Pooran, I would just add that, you know, there's a lot that can happen in the fuel market from a commodity standpoint that's 100% out of our control. So you know, what happens in November is really no indicator of what could happen in January. So you know, we kinda play that one month at a time. Thank you.
Operator: The next question will come from Benjamin Wood with BMO. Your line is open.
Benjamin Wood: Good morning, guys. This is Ben on behalf of BMO and Kelly Bania. Thank you for taking our questions. First, we just wanted to start with could you give us an update on what the last twelve-month EBITDA contribution was from Cefco and maybe how that came in relative to your internal plan. And then following up on kind of Bonnie's question, as we think about the composition of new store growth over the next twelve months, is that more MTIs or acquisitions? And then can you just walk us through how you're thinking about the potential returns more recently on your new to industry builds versus your potential acquisitions?
Darren Rebelez: Yes, Ben. I'll go ahead and start with the store growth piece. I'll let Steve talk about Cefco EBITDA. The store growth, we expect always a balance between new to industry and M&A. And so typically, when we set our new store goal for the year, we'll we kind of go into it planning for a fifty-fifty split. Now acquisitions can be a little bit lumpy, so that number is usually wrong, but we go into it with that expectation and that plan and we have the ability to do that. If acquisitions run a little bit hot, then we usually throttle back the new to industry builds and get to our target, and then that allows us to land bank for the situations where maybe acquisitions slow down a little bit. Then we have the ability to flex the other way and accelerate new to industry builds so we can maintain that consistent ratable growth. So that's kinda how we view store growth from a return standpoint. We're always looking to achieve that mid-teens return after a few years when the stores start to mature. We have a long track record of achieving that, and we're really format agnostic, meaning whether that's a new to industry or an acquisition, we still have the same return expectations either way.
Stephen Bramlage: Yeah. Listen, what I would say on Fikes is right where we thought we would be. So their own plan for us, the plan is very consistent with kind of the pro forma assumptions that we had at the time we bought them. LTM is a little misleading. I'm not going to go there just because if you think of the first two quarters that we had Fikes, a lot of deal cost there was it was kind of awash from an EBITDA basis for the second half of last fiscal year. But for this fiscal year, we said that would be EBITDA accretive, healthy EBITDA accretion it is. Would not be EPS accretive because of the interest that is still the case. We continue to realize synergies primarily from fuel and SG&A. As we sit here at this point in time, to Darren's earlier comment, the biggest group of the $45 million of synergies we're ultimately trying to get is going to come from inside the stores and you know, that's dependent on the timing with which we can remodel the stores. So we will certainly not fully realize synergies this fiscal year, and that was never the expectation. But right where we thought it would be, on our way to ultimately getting to $8.99 billion of kinda fully synergized EBITDA, but we won't see all of that this fiscal year because of the timing of remodels.
Benjamin Wood: Great. Thank you. And then just as a follow-up could you give us an update on what the latest thinking around your wing test. And then, you know, as you're thinking about timing of broader rollout, what are you guys looking for at this point? Are you still trying to refine the ops offering or the labor, or are there calendar events like the Super Bowl or March Madness that might be a little bit more conducive to a broader launch?
Darren Rebelez: Yeah, Ben. You know, with the wings we've talked about, we still had some menu refinements that we're working on. Some procedural gaps we're trying to close. I think a lot of that work has been wrapped up where we've got some new flavor profiles that we've just literally in the last week got back into the test stores, and we've broadened that store base a little bit to make sure we've got that right. So I'd say a lot of the development type work we think is largely done. We're validating that as we speak. And then we would proceed to start rolling out. So we haven't really announced a timeline for that just yet. But I think that work is well underway, and so I think we're getting closer to the finish line there.
Operator: Thank you. And the next question will come from Brad Thomas with KeyBanc Capital Markets. Your line is open.
Brad Thomas: Good morning, and thanks for taking my question, and congrats on a strong quarter here. I want to first ask a big picture question about competition. This is something that comes up a lot in our conversations with investors about the growth of many of the private convenience stores. It seems like your results are clearly very insulated today, but I was wondering Darren, if you could talk a little bit more about your confidence level in your insulation from some of that competition.
Darren Rebelez: Yeah. You know, look. I think you know, from a competitive standpoint, we have a little bit of a mixed bag. I You know, and what I mean by that is, yeah, there's certainly some rural areas where we don't face a lot of the larger regional players that you're referring to. We do have some of those larger regional players that we compete with every single day in some of our larger markets. I'll just use our home market of Des Moines, Iowa as an example. It's probably one of the most competitive convenience store markets in the country. And so we face three of those regional competitors as we speak in this market, and we perform exceptionally well here. We have that in a number of different markets. Texas, and Missouri, in Illinois. So I feel very comfortable in our ability to compete at the highest level with the regional players in the industry. And, you know, we have a differentiated offer. You know, they do well at what they do, and we do well at what we do. And those things aren't always the same. But, I think we can look market by market where we have that more intense competition and we do very well there.
Brad Thomas: That's helpful. And if I could ask a follow-up on the state of the consumer. This has been an unusual quarter with the government shutdown. And an impact on Snap. Curious if there was anything that you'd seen in your business. A consumer perspective.
Darren Rebelez: You know, I shared a little bit before about what we're seeing more broadly with the consumer with respect to Snap, Snap is a very low percentage of our business. It's a little bit less than 2% of our sales. Are SNAP eligible. So we really you know, the government shutdown, while unfortunate, really didn't have much of an impact on our business at all that we could discern from the numbers.
Operator: Thank you. As a reminder, to ask a question, please press 11 on your telephone. And our question will come from Mike Montani with Evercore. Your line is now open.
Mike Montani: Yes. Hey. Good morning. Just wanted to ask if you could unpack a little bit further some color, Darren, on state of the consumer and the K-shaped economy and in particular, I guess, with Guide, it seems to imply about 50 bps of d cell for the back half of the year. Even though compares get a bit easier optically into the fourth quarter, and we thought you could have, like, 20 to 40 bps of tailwind from Safeco stores, getting into the comp. So just wanted to understand maybe if you could break out, you know, how the comp progressed over the quarter. A little more color about what you see in November, and then just some high-level commentary about that consumer.
Darren Rebelez: Yeah. I guess as we saw the comp progress through the quarter, it was really you know, that trajectory was more a reflection of the comps we were cycling. So it kinda stepped down August, September, October. But when you look at the two-year stack, it really was the other way. It accelerated. So, we had a very tough comp in October, and we cycled that. And that was probably our lowest comp sales month of the quarter from an inside perspective. But like I said, on the two-year stack basis, we were about six and a half last quarter. We were seven and a half this quarter. So I feel really good about the strength of the business and the trajectory it's on. You know, from a consumer perspective, you know, again, I think you know, and we've done some research on this. You know, there's sentiment out there among consumers, and then there's how they behave. And I think broadly speaking, if you look at different income cohorts, the middle and upper-income cohorts are feeling fairly good about the economy. You know, there's some that have a negative view but the majority would have either a neutral or positive view of the economy. The majority in those cohorts would feel at least neutral or more financially secure. The lower income is under more pressure from both of those perspectives, but they also say that they intend to maintain their visit frequency to convenience stores. So that's encouraging for us. And, again, what the actual behavior we're seeing in the stores is that they're still coming as frequently as they were as evidenced by our traffic increasing over the quarter. They're still buying. As evidenced by her same-store sales performance relative to others in the space. But they are being more discerning about where they spend the money and how they spend it. And I think for us, with our prepared food proposition in particular, it represents a really strong value relative to other alternatives out there, particularly in the QSR space. And so we're finding more people gravitate to us because of that strong value proposition and we continue to maintain that. So I feel very good about the spot we're in right now from a guest perspective.
Mike Montani: We had just done a deep dive actually on your last point about the share gain potentials for prepared meals. Where you all stood out positively. And I was curious if there's anything you could add, that helps to bridge us to the chicken wings in terms of LTOs or other innovations down the pipeline.
Darren Rebelez: Well, we certainly think that the wings have the potential to create another occasion for the guests. And I would expect that from a quality and pricing perspective to really represent a great value proposition for the guests. And that's the feedback we're getting so far in the test market. So I'd expect that to perform well when we go to a broader rollout. And again, our pizza proposition has always been there. People recognize us for that. And as they become more value-conscious, they are gravitating more towards us. And so, again, relative to comparable quality, products out there, and we compete more with QSR from a quality perspective. Our value is much stronger than most out there, and it's resonating with guests.
Mike Montani: Great. Thank you, and good luck.
Operator: Thank you. I show no further questions at this time. I would now like to turn the call back over to Darren for closing remarks.
Darren Rebelez: All right. Thank you for taking the time today to join us on the call. Before we go, I want to thank our team members once again for all their hard work this quarter. I wish them and everyone on the call and listening in a happy holiday season.
Operator: This concludes today's conference call. Thank you for participating and you may now disconnect.